Operator: Good day, ladies and gentlemen, and welcome to the Amdocs Q4 2017 Earnings Call. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference Mr. Matthew Smith, Head of Investor Relations. Mr. Smith, you may begin.
Matthew Smith: Thank you, operator. Before we begin, I would like to point out that during this call, we will discuss certain financial information that is not prepared in accordance with GAAP. The Company’s management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating the effects of such events enables management and investors to consistently analyze the critical components and results of operations of the Company’s business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today’s earnings release, which will also be furnished with the SEC on Form 6-K. Also, this call includes information that constitutes forward-looking statements. Although we believe the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include, but – to, the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the Company’s filings with the Securities and Exchange Commission, including in our Annual Report on Form 20-F for the fiscal year ended September 30, 2016, filed on December 12, 2016, and our Form 6-K – first quarter of fiscal 2017 on February 13, 2017, for the second quarter of fiscal 2017 on May 22, 2017, and for the third quarter of fiscal 2017 on August 14, 2017. Amdocs may elect to update these forward-looking statements at some point in the future. However, the company specifically disclaims any obligation to do so. Participating on the call with me today are Eli Gelman, President and Chief Executive Officer of Amdocs Management Limited; and Tamar Rapaport-Dagim, Chief Financial Officer. With that, I’ll turn it over to Eli.
Eli Gelman: Thank you, Matt, and good afternoon to anyone joining us on the call today. I am pleased to report solid operating results in quarter four, during which we managed a record number of transformations and delivered dozens of projects milestones into production. We brought innovative product offering to market in areas like artificial intelligence and network functions virtualization and we secured a new modernization awards that increased our footprint with several highly strategic customers. Overall, we closed a successful fiscal 2017 with a record revenue and our highest level of profitability in several years. We delivered full year diluted non-GAAP earnings per share growth of 6.4% and free cash flow generation of more than $500 million, both of which were consistent with our initial expectation at the start of the year. Moreover, we sustained a high win rate in fiscal 2017, finishing with record 12 months backlog of $3.25 billion, which includes key transformations project with global service providers such as AT&T, Comcast, T-Mobile, Altice and DISH in North America; Vodafone British Telecom, Orange in Europe; América Móvil, Airtel, Telefónica, Telstra, SingTel and Globe in the rest of the world. Now let me provide some color of our regional activity in quarter four and our market dynamics as we expect to face in fiscal 2018. Beginning with North America, performance reflected they ramp up of project activities with various Pay TV operators and included a new multiyear agreement Altice USA, which we were proud to announce early in quarter four. Known for its agility and innovative approach to market, we look forward to supporting Altice as its strategic partner in USA, and hopefully beyond. Our winning momentum also included wireless customers T-Mobile USA entered into strategic contract with Amdocs Brite:Bill solution to help improve the customer’s billing process and deliver on its commitment to excellent customer experience. Meanwhile, in other major existing customer, awarded Amdocs with projects based on Vindicia, in our artificial intelligence platform, AI. Regarding the outlook in North America, we remain subject to the uncertainty of future consolidation activity amongst service providers as we have discussed with you in recent quarters. Additionally, recent market conditions have been quite challenging for a number of service providers in the region, including AT&T. The combination of this market dynamics is presenting some headwinds, which in the specific case of our largest customers, AT&T, is leading us to take a more cautious approach to outlook. Let me take a moment to elaborate. First, AT&T’s in pending mergers with Time Warner is contributing to a general slowdown in its discretionary spending. These are fairly nature of pattern, the dynamics of which we have seen before in reflection in relation to AT&T’s acquisition of DIRECTV in 2015 and its attempted consolidation of T-Mobile USA in 2012. The potential business opportunities that Time Warner presents to Amdocs is not reflected in our outlook, but the anticipated transaction is nevertheless affecting the overall discretionary spending of AT&T company-wide. Second, as a result of its business performance in recent quarters, AT&T has begun to reformulate its broader spending priorities. In response to the situation, taking a prudent approach we, therefore expect a reduced level of discretionary spending at AT&T this year. Our best current estimate of which is incorporated in our fiscal 2018 outlook. To add some historical perspective, this is the fourth time in 10 years that we see – we have dealt with negative spending cycle at AT&T. Although the overall direction of growth with AT&T has been positive for Amdocs during this period. Looking ahead, we believe AT&T’s integrated carrier strategy is the right one for the market and for the American consumers, and we believe AT&T will find ways to improve their market position and business results over time. Moreover, we remain confident in the strength of our relationship with AT&T and our partnership, and we continued to walk diligently to demonstrate the many dimensions of which we can bring long-term value to these more strategic customer. More broadly in North America, customer activity is fairly robust in several fronts. Pay TV has emerged as a growth engine for us, and we are working hard to deliver current project and secure other in new awards in the next few quarters. In enterprise B2B, we are focused on moving projects towards production at DISH and another leading MSOs. In network functions virtualization, NFV, we see opportunities to provide paid services for customers like AT&T and Dell, and we are codeveloping new use cases like the intercarrier service orchestration solution based on ONAP and we – that we plan to showcase with AT&T and Orange at the Metro Ethernet Forum later this month. Additionally, we are working with several cable MSOs on how to deploy NFV services, such as SD1 and virtual firewall to their mid-market and enterprise customers. Overall, we have many encouraging project activities in North America, but the softness of AT&T combines with the intense media speculation around future industry consolidation in the region is creating uncertainty. And our quarterly trends in the region is likely to fluctuate in the foreseeable future. Moving to Europe, quarter four was the strongest of the fiscal year and including several major wins. Earlier in the quarter, Business Telecom group announced its election of our Brite:Bill solution. Additionally, the merged company of VodafoneZiggo in The Netherlands, selected Amdocs to optimize its business integration, deploying Amdocs’ digital enablement stake to provide a seamless customer experience and the rich cross-company portfolio of services. These awards continues our long-term and successful relationship with Vodafone Netherlands and offer encouragement that the integrated carrier strategy is also applicable in Europe. Looking ahead, we expect Europe to grow in fiscal 2018. As we leverage our market position, although quarterly trends will remain subject to timing of strategic customer activities and the macroeconomics political and foreign currency environments of the region. Turning to the rest of the world, where we’re also concluding fiscal 2017 with a solid quarter and several new awards. We are pleased to announce long-term services contract with Bharti Airtel India’s largest telecommunications service provider, under which Amdocs will act as a strategic partner to provide the digital transformation, deploy machine learning and artificial intelligence capabilities and deliver next generation services to its customers. Amdocs was also selected by a leading Southeast Asia Service Provider to support its charging incomes as requirement. In Latin America, we expect – we expanded our radio and access network optimization activities with Claro Chile and América Móvil Company. Looking ahead, we expect the rest of the world to grow in fiscal 2018, supported by working backlog, a rich pipeline of opportunities and our leading market position in Latin America and Southeast Asia. Although we remind you that quarterly trends may fluctuate due to the project orientation of our customer’s engagement in these regions. To summarize my regional comments, we believe the many wins referenced today reflects our product leadership and excellent track record of project delivery. Looking ahead, our relationship with AT&T is healthy, and we are well positioned to keep bringing value to AT&T. Although we are seeing some near-term headwinds that are unique and specific to AT&T, our largest customer. Our broader business activity is robust and strong enough to support total revenue growth in the range of 0% to 4% in fiscal 2018. The pace of AT&T’s discretionary spending, the outlook of which is still evolving, will be a material factor determining where we lend within this range. We expect to deliver total returns to shareholders in the mid to single high digit – single digit in fiscal 2018, which will be the seventh consecutive year we have achieved this level of performance. We are proud to have achieved this consistency despite challenging market conditions and customer spending cycles we have experienced over this period. Moreover, we believe our ability to sustain similar returns in the future is well rooted to the fundamentals of our business. Let me take a moment to elaborate. First, the value proposition of our unique product led services model and the superiority of our product set continues to support our high win rate in strong competitive position. Second, we are into fiscal 2018 with a high level of returning revenues and about 80% revenue visibility provided by our 12-month backlog. Third, our managed services business continues to grow as a natural expansion of our project delivery expertise, as was demonstrated at Altice USA and Bharti Airtel in India during quarter four. Renewal rates of our existing managed services engagements also remain extremely high, recent example of which includes the multiyear expansion of long-standing agreements with Globe in the Philippines and a leading prepaid provider in North America. Fourth, we have developed several growth engines in recent years that are relevant to service providers in strategic areas, such as the digitization of the integrated carrier, Pay TV modernization, enterprise B2B, network functions virtualization and artificial intelligence. These engines are built and designed with DevOps’ mindset, using microservices methodology are suited to the cloud environment and are in line with the market needs of the future. Finally, we are focused on a proactive and disciplined allocation of capital as a mechanism to enhance shareholders return. More specifically, we remain strongly committed to M&A at a strategic vehicle for long-term growth. But since there were no material transactions in fiscal 2017, we can afford to accelerates our capital return to approximately 100% of free cash flow in fiscal 2018. To support this, our Board has authorized an additional share repurchase plan of $800 million with no expiration date, which we’ll execute at the company’s discretion going forward. As has further demonstration for our confidence in the future success of Amdocs, we’re also pleased to announce the proposed increase in the quarterly cash dividend for the fifth consecutive year, subject to shareholders approval at the Annual General meeting in January 2018. With that, I will turn the call over to Tamar.
Tamar Rapaport-Dagim: Thank you, Eli. Fourth fiscal quarter revenue of $980 million is slightly above the midpoint of our guidance range of $955 million to $995 million, and include the positive impact from foreign currency fluctuations of approximately $9 million relative to the third fiscal quarter of 2017. Revenue performance was slightly below the midpoint of our expectations, excluding foreign currency fluctuations. Our fourth fiscal quarter non-GAAP operating margin was 17.2%, an increase of 10 basis points year-over-year and in line with the higher end of our long-term target range of 16.4% to 17.4%. Below the operating line, non-GAAP net interest and other expense was $2.3 million in Q4, primarily reflecting foreign exchange movements. For forward-looking purposes, we continue to expect a non-GAAP net interest and other expense in the range of few million quarterly due to foreign currency fluctuations. Diluted non-GAAP EPS was $0.94 in Q4, within the guidance range of $0.91 to $0.97. As we anticipated, diluted non-GAAP EPS was impacted by a higher non-GAAP effective tax rate of 17.1% in the quarter. For the full fiscal year 2017, our non-GAAP effective tax rate was 15.2%, which was within our expected annual target range of 13% to 17%. Diluted GAAP EPS was 0.73 for the fourth fiscal quarter, within our guidance range of $0.68 to $0.76. Free cash flow was $165 million in Q4. This was comprised of cash flow from operations of approximately $199 million, less $34 million in net capital expenditures and others. Free cash flow generation for the full fiscal year 2017 was $507 million, which was better than our expectations of $500 million, which we issued at our Analyst & Investor briefing last December. DSO of 81 days decreased by 3 days quarter-over-quarter. This item may fluctuate from quarter-to-quarter. Total unbilled receivables increased by $56 million as compared to the third fiscal quarter of 2017. Our total deferred revenue, both short-term and the long-term decreased by $11 million sequentially in Q4. The net movement in unbilled receivables and total deferred revenue reflects our high level of transformation project and resulting timing differences between revenue recognition and the invoicing of customers during the fourth fiscal quarter. Our cash balance at the end of the fourth fiscal quarter was approximately $980 million. Our 12 months backlog, which includes anticipated revenue related to contracts, estimated revenue for managed services contracts, letters of intent, maintenance and estimates of ongoing support activities, was $3.25 billion at the end of fourth fiscal quarter, which is up $30 million sequentially from the end of the prior quarter. During the fourth fiscal quarter, we repurchased $90 million of our ordinary shares under our current authorization of $750 million. We had $256 million remaining under that authorization as of September 30. As Eli mentioned in his prepared remarks, our board is authorizing additional $800 million repurchase plan to be executed at the company’s discretion going forward. The divisional authority does not have a state of expiration. As a reminder, we will execute our buyback program the company’s discretion going forward and we retain the flexibility to vary the level of share repurchase activity from quarter-to-quarter. Depending on taxes, such as the outlook for M&A, financial markets and prevailing industry conditions. To further elaborate on our approach to capital allocation in fiscal 2018, we remain strongly committed to the proactive and disciplined return of free cash flow to shareholders, as well as strategic M&A, which we intend to utilizes another lever to deliver long-term growth when the right opportunities arrive. Additionally, we’re continuing negotiation to acquire Prime Commercial land located close to our existing facilities in Ra’anana, Israel. Upon which we plan to develop a new campus that will provide an advanced optimal working environment to meet the needs of Amdocs’ [indiscernible] employees and to support the company’s future growth. This investment is consummated, will be finalized with cash resources. Wherever we believe our decision to build a new campus will be accretive to non-GAAP diluted earnings per share over the long-term and is a reflection of our confidence in the future success of Amdocs. Now turning to our outlook. We expect revenue to be within the range of $960 million to $1 billion for the first fiscal quarter of 2018. Embedded within this guidance, we anticipate the negligible sequential impact from foreign currency fluctuations as compared to Q4. For the full fiscal year 2018, we expect total revenue growth to be within the range of roughly 0% to 4% as reported and roughly negative 1% to positive 3% on a constant currency basis. After adjusting for the positive impact from foreign currency fluctuations of about 1% relative to exchange rates prevailing at the end of our fourth quarter fiscal 2017. This outlook embeds slower start to the fiscal year, followed by a stronger second half and it’s supported by the visibility of our record 12 month backlog. Additionally, this outlook incorporates an expected drag of about 0.5% from directory, which anticipate to continue to decline in fiscal 2018. We anticipate our non-GAAP operating margin to be within a new and improved range of 16.5% to 17.5% in fiscal 2018. The midpoint of which is about 10 basis points higher than the midpoint of our prior range. This outlook reflects our consistent effort to deliver permanent internalization to improvement and then achievable despite the high level of project activity and ongoing investment for long-term growth. Additionally, we expect our quarterly non-GAAP operating margin to fluctuate at the higher end of this range in fiscal 2018. We expect our non-GAAP effective tax rate to remain within the same target range of 13% to 17% for the full fiscal year 2018. We expect the first fiscal quarter diluted non-GAAP EPS to be in the range of $0.94 to $1, our first fiscal quarter non-GAAP EPS guidance incorporates an expected average diluted share count of roughly 146 million shares and the likelihood of a negative impact from foreign currency fluctuations in non-GAAP net interest and other expense. We excluded the impact of incremental future share buyback activity during the first quarter as the level of activity will depend on the market conditions. For the full fiscal year, we expect to deliver diluted non-GAAP EPS growth of 4% to 8%. Our full year EPS outlook does factor in expected repurchase activity over the year. So I should see in your modeling, we expect to generate free cash flow of roughly $400 million in fiscal 2018, setting into account incremental capital expenditure up to $100 million associated with the multiyear development of our new campuses in Israel. Normalizing for this capital expenditure, we expect free cash flow of roughly $500 million in fiscal 2018, approximately 100% of which we plan to return to shareholders through our ongoing share repurchases and dividend program in fiscal year 2018. Finally, we expect the total return we delivered to shareholders will be enhance beyond the earnings growth outlook by our dividend program, which is the new quarterly dividend rate is approved by shareholders at the annual meeting in January was yield about 1.6% in constant – I’m sorry, on current share price. Therefore, we expect to some of our diluted non-GAAP EPS growth plus the dividend yield to equates to total shareholder return in the mid-to-high single digits for the seventh consecutive year in fiscal 2018. With that, we can turn it back to the operator to begin our question-and-answer session.
Operator: Thank you. [Operator Instructions] Our first question comes from Ramsey El-Assal from Jefferies.
Unidentified Analyst: Hi, this is Damien on for Ramsey. Thanks for taking my question. So I’m hoping you can help us, I think some of your assumptions in the fiscal 2018 guide. So specifically, how much conservatism some are you assuming out of AT&T. Did you kind of base your assumptions in a fair amount of conservatism? And then is that really what’s weighing on the guidance here or there some other elements too, that we should be thinking about?
Eli Gelman: So Damien, thanks for the question. As we said, it’s the largest component that is slowing us down. And although a lot of moving parts in the overall plan of the company, but if I need to call out one, it’s definitely AT&T. I don’t have a measurement for how conservative we are. We’re usually prudent people, but they need to realize that some of the things are really evolving as we speak AT&T had there as well as we do, they have a early warnings as couple of weeks ago, they are going into some readjustment of broader expenses, and we expect everybody to be slow down by that. So we have to take it into account. And that’s on top of the clouds on expenses in general as we explained in the prepared marks because of Time Warner and every ten minutes again, every two hours may be. There is some new information about this. So we have to – with this type of dynamics, it would not be responsible from on our side to just assume that everything is as usual. On the other hand, we believe, as we said it, the strategy if I think this is the right one, they would find ways to overcome some of this specific difficulties in their business. And as a result, we believe that since we are providing for many years and can provide for them many years to go, avail with AT&T, we believe that fluctuation will swing positively in the future as well. So then to sound the rest of the company, which is robust and growing, actually nicely will compensate to some of it, not fully. And as a result, we would start with the flattish quarter and then we’ll accelerate as time goes by. But the number one factor is AT&T, it’s combined by that these two factors I just mentioned.
Unidentified Analyst: Great. Thanks for the color on that. And I guess you kind of started talking about this. But it seems like the other parts of the business are firing along pretty nicely. I’m hoping you can talk about the drivers of international performance. It looks like a rebounded pretty nicely in the quarter here. And you call that a few nice wins. But is this due to anything in particular? Or is they’re using more of a broad base return to demand and Europe and the rest of the world?
Eli Gelman: Look, I think its many things together. I cannot really pinpoint one specific thing. We’re definitely proud of the fact that we see Europe growing in 2018. That’s mainly because of the product superiority and maybe few other things that are going on. In the rest of the world, both in APAC and in Central Latin America, we see demands to our product and services, and we see managed services and we see – that’s before we actually see the new engines kicking in into the rest of the world, which could be their NFV, and I think that I’m sure that we’ll follow in – following years. So I would say that the growth we see in with the Pay TV in North America with Europe, in general, and rest of the world both aims of it as we call it, are due to many factors and not one. I think that we invested properly in the growth engines and they are just firing properly.
Unidentified Analyst: Great. I appreciate it. Thank you so much.
Eli Gelman: Thank you.
Operator: Thank you. Our next question comes from Shaul Eyal with Oppenheimer.
Shaul Eyal: Thank you. Hi, good afternoon, Eli, Tamar and Matt. Two quick questions on my end. Eli, with respect to the commentary, your commentary on M&A, and the M&A strategy, and given that on one hand, you are – I thinks the capital utilization and what you’re returning to shareholders. Is it the fact that there aren’t suitable targets? Or that there are some suitable targets, but in terms of valuation given where the arkets are, it is slightly more challenging or maybe is it both?
Eli Gelman: So Shaul, thanks for the question. As a matter of fact, it’s both. We have – I think we have been known to be very disciplined and not be carried away. And some assets are just way too expensive, it cannot be justified and we would not just rush into it just to spend the money. And in other cases, it’s mainly timing. We are very, very disciplined in terms of, first of all, analyzing the strategy coming out with the strategy and then try to see whether we are going to develop or maybe corporate with someone or buy assets to accelerate our growth. So the end result is that the timing and in some cases the pricing was cited really not though much in 2017. So based on our so-called agreement, we will – we can accelerate the buyback. But as soon as we have additional M&As, I believe we’ll do both in 2018 with M&As and accelerate buyback. And it will have a bigger M&As in the future would probably may be slow down buyback a little bit. That was always the philosophy and the policy. And it’s just a matter of timing and some valuations. And the only thing I’m proud of is we’re disciplined and we’re not just throwing money just for the sake of doing M&A or maybe growing the company in an awkwardly. So we will keep on choosing the targets, there are targets, not that many, but there are targets in all these – all areas, in technology, in services in geographic penetration could be an angle. Maybe even consolidation. When the pricing is right. And so there are targets. But the end result of disciplined execution of our strategy is to M&A ended up with very little in 2017 and that’s a nature of the business. I don’t think you want us to just rush into this, if I’m not really reasonable.
Shaul Eyal: Absolutely. This was completely fair enough, absolutely. And with respect to NFV, I know this is a topic we discussed a lot over the course of the past at 12 months, probably. What’s the current update? Again leaving the fact for example – leaving the fact for a second just the issue, the internal issue at AT&T that are impacting 2018 guidance to an extent. But what else is happening with NFV? Again, we have seen over the course of the past year nice ramp of AT&T, Bell Canada, Orange, Poland. What’s the pipeline engine in that respect? What does it look like?
Eli Gelman: Look. So we keep seeing the pipeline growing. Actually now it extends to other regions of the world, which is very nice. It’s slowly, but progressing well. The fact that we now have use cases that we can demonstrate in the MSO and the cable industry is very, very encouraging in my opinion. I know we announced this project with Comcast, which is now expanding, and we have other projects there. So the pipeline’s growing it’s just relative slowing, I think that will see that for a while, and then I think it will accelerate grow, if you ask me. The other thing I would say that we are now seeing what is expected, but we are now seeing the first wave of services, and I alluded to that in my prepared remarks, the services is around NFV. Regardless to product on updates and not on updates are very important, and we have the right SKUs and the engineers to support services. And we believe that, that will be a by itself a very important growth engine within the NFV field. And there is a third component which we did not touch yet, but we’re not necessarily excluding, is that to integrate certain small VNS, the people that are bringing the component of software underneath the NFV control plane. That’s something for the future. So altogether, we see nice progress, I think it’s just slow, but that’s my opinion.
Shaul Eyal: Fair enough. Thank you very much.
Eli Gelman: Thank you, Shaul.
Operator: Thank you. Our next question comes from Jackson Ader with JPMorgan.
Jackson Ader: Great. Thanks for taking my question, guys. Eli, you mentioned that this is not the first time that you’ve seen some tightening of the purse strings, I guess, will say an AT&T over the last 5 to 10 years, and yet you’ve still been able to grow the relationship through that time. So what have been some of the catalyst or what have happened when you previously seen spending patterns like this that actually ended up making you grow within that particular account?
Eli Gelman: So, each one of them is actually quite specific, and we have to go to the details and we don’t have the time right now. But suffice to say, some of them has been primarily related to an M&A or anticipated M&A. So this type of waves, I mean, the M&A was done like DIRECTV, okay, it take some time, they go to the drawing boards, they decided what to do. We are part of the enabler in this cases, and we end up with a project that is related to an M&A that could be one example. Other examples is just executing on AT&T’s growth strategy. In the last two or three years, they had a growth strategy that included Pay TV so they started with the own company and then they brought cricket. We actually won the entire transformation of cricket to Amdocs-based BSS Backend systems, and then to managed services component of this. They went south of the border to mainly Mexico. And we have been the provider enabler of this transformation of Mexico. The domain 2.0 out on the NFV is an example. But so we are relatively versatile in the level of – and type of skills that we have in what you can actually operate with strategic partner. And usually, we just follow their strategy so that’s why we believe that directionally they are in the right strategy, they probably will add the certain things and do certain things. And hopefully, with that, we will have the opportunity to prove ourselves. AT&T does not give us any discounts in terms of winning anything. We work diligently in every one of the projects. But in the past, we managed to usually provide additional services or additional product set or additional capabilities that’s were not part of their previous capabilities of Amdocs, and again, because we keep on investing in these domains, in these new growth engines. Usually, we are able to grow there AT&T, so why won’t we help you with this new domain so and so. I would say this two components of the majority of the reasons why we managed to be relevant and win businesses in AT&T despite the expectations. The other thing, I would say actually quite normal to us with any customer. Any one that you will take can choose anyone you want. So that’s 5% to 10% fluctuations plus/minus during the year, it just at few percentage in AT&T because the size of it, it turns out a lot of money. And therefore, we need to be more prudent and we have to break it into our guidance and not rush into be a too optimistic or ignoring it.
Jackson Ader: Okay. That’s helpful. And then, Tamar, for my follow-up, how much flexibility do you feel like you have in the expense base if few are surprised in the upside in AT&T’s discretionary spending or the downside?
Tamar Rapaport-Dagim: We are always been very diligent in terms of how to manage these kinds of situations, both in terms of continuing to – on a regular basis. Irrespective of those fluctuations, you’re mentioning to continuing to push all the time with capabilities that will enable us to improve the cost structure, which is – what we’re doing as we speak to improve by a small step functions, but yes, those are all the vectors, you see over the years has been an improvement of the operating margin. Now when we are seeing the situations, the fact change, this is where we may take decisions to slowdown also some discretionary spending that we have. Talking about failure that’s sounds more like for example R&D et cetera, historically, which is why I get the away from doing that, because we always feel assuming that those disruptions are short-lived. We want to continue in investing in the future and, if you look for example, even in a very period like the 2008, 2009, we made actually conscious decision to invest heavy into new domains – to invest heavy into new regions, back then it was the beginning of our investments in the rest of the world, for example. So it’s really depending on the situation in how we may see, we’re seeing the challenging period will be. We don’t feel that currency there’s a need or a call to change the level of spend actually we are planning to continue our R&D investment at the rate of 6% to 7% of revenue as you’ve seen us in the past years.
Eli Gelman: And the other way, I would say that we have several – let’s call them potential, maybe they are find potential. So we can take it gently without moving, making short-term turns and turning the company upside down. And in recent years, we showed, many years actually, we showed quite a discipline, the usage of this potential if like to call them that this way.
Jackson Ader: Okay. All right, thank you.
Operator: Thank you. Our next question comes from Ashwin Shirvaikar from Citi.
Ashwin Shirvaikar: Thanks. Hi, Eli, hi, Tamar. So thank you for your comments. Eli, this outlook seems like kind of quantitative equivalent of your comments last quarter. So, I guess, first of all, appreciate you giving ahead of last quarter. The question I have is if AT&T revenue are flat instead of down in fiscal 2018 or fiscal 2017, what would be your rev range look like instead of 0% to 4%? And do the AT&T actions also affecting like NFV some time to get a sense for whether these strategic projects are also affected? Or is it primarily a discretionary slowdown, so if you can give that break out of the discretionary versus non-discretionary in that base?
Eli Gelman: Yes, Ashwin. So first of all, yes. Last quarter, we’re start seeing some of it, when we extrapolated some of it and now we are quantifying it because we have to as part of the guidance. So it’s like a use surprise and we see the direction and read a newspaper of the results of A&T, being general, in growth and our debt. So it’s all combining into some pressure on AT&T translating to slowdown in this missionary expenses, and we’re just quantifying it right now and we shared as much as we can last quarter and our calling the numbers. In terms of the – it’s hard to give you the high level extrapolation of what if AT&T will be flat. Obviously, AT&T will be flat, will trend toward the higher end of the range. We’re exactly what have been lending it’s really hard for me to calculate right now. But this is, as I said, this is the number one contributor. It’s not the only one, but it’s the number one contributor thus far into where we land in this range AT&T. And in terms of where are the coding, I actually, it’s really a work in process. And I believe that some of the things that they maybe think about, regarding maybe release and vice versa, so it’s still a work in progress. Look, their virtualization project, the NFV in general, it’s a very important project for AT&T. I think it’s part of their strategy to improve their own operating margins and so on, so forth, and we are definitely a major part of the – the major part of this engine. And as I mentioned before, we see some services opportunities, not only the product development opportunities in the NFV. So I don’t know exactly whether were those slow NFV Project slightly or not at all. And maybe even maybe in six months decide to accelerate it. But in general, we see the state of mind of savings and across the company in every aspect that’s going to see all sort of mood. We are one of the people that had probably the highest visibility in terms of work we can offer from new technologies like NFV or IR intelligence, our artificial intelligence engine, all the way to Managed Services and savings. I mean, well, one of the best shops that understand IT inside out is the domain that we’re talking about. And we can take a piece of business of AT&T and just run it better. So that’s providing services and savings. But I’m just giving you different examples because we don’t know the exact results. The entire wave in its – actually is evolving in the last two weeks, including the Time Warner announcement. Today the CFO, of AT&T, said it’s not updated, it’s is not clear. The DOJ say they want AT&T to divest CNN. I mean, like every two days, we have another information. And it’s an effective for the organization. And if you combined that with the fact that they are on DIRECTV and Mobility and in other places, they have some difficulties – over the world. You have a state of mind at we are basically trying to picked in our prepared remark. So I really cannot give you no data points on each one of the field. Enterprise, versus mobility versus DIRECTV business versus NFV versus – but we are involved in all of the above.
Tamar Rapaport-Dagim: Yes. The additional color on that actually – if we look in 2017, AT&T is an account grew 4%, so in line with overall company growth rate. And as you can understand, we’re actually seeing the rest of the business, given the slow patent of AT&T accelerating. So overall, yes, it’s a major drag, it’s a customer that we serve of our business, so obviously does impact of our company. But if we look on the rest of 2/3, which is the majority of the business, it’s actually performing well going into 2018.
Ashwin Shirvaikar: Understood. And then I heard you guys talk about T-Mobile. So does that announcement basically, reversely announcement from a few years back that they would prepaid and some other pieces to Ericsson, which, of course, we know that Ericsson seems to have failed to convert. But is there an uptick on ongoing trend from the many details that you could potentially share?
Eli Gelman: So Ashwin, our relationship with T-Mobile is very strong, has been stronger and stronger in the last couple of years. None or very little of the plans that they had regionally have been materialized and we are just support them in their carrier. 1, 2, 3, 11 whatever. This specific project that we are probably announcing is on top, it just was not in the cards at all before. It’s a nice thing, because also it’s a leverage that shows the integration of strategic asset that they are buying acquisition we have done a few quarters ago, and now it’s very relevant to all-time customers like T-Mobile or like British Telecom and others. So this is very important for us to demonstrate for a sales force. But in general, that this new engines are all blending into our CS portfolio. But the specific one in your question about T-Mobile are not in the cards in the last couple years ago. It’s just the new offering that we have, they loved, they like it and we think it will be actually quite important for them. So T-Mobile actually is investing quite significantly in the customer experience in many dimension. This another example, and I think it’s an correlation to their success in the market as a wireless and multi-play company.
Ashwin Shirvaikar: Understood. And a quick question of size of buyback you’re assumed to be get to the 4% to 8% range?
Tamar Rapaport-Dagim: So as we said, we are talking about 100% of free cash, but just to be clear, I’m talking about the $500 million that is excluding the special capital expenses that we project to have on the campus. But within range of course, it could be more than that, and we will adjust from quarter-to-quarter was somehow given with M&A expectations as well as the performance of the market overall. But in terms of the cash performance, when we are looking on the overall business model, the projections of the specifics for this year, et cetera, we continue to put a strong focus with the earnings per cash conversion and to make sure that we are meeting the goals of the cash return to shareholders. We’ve increased dividend, we’ve did some acceleration in the share repurchase. But it’s not going to be just, let’s say, anything out of the normal things we’ve seen in the past couple of years. So in some years, we’ve been over 100%, in some years we’ve been 90% this specific year, we feel we can do at least 100%.
Ashwin Shirvaikar: Got it. Thank you guys.
Operator: [Operator Instructions] Our question comes from Tom Roderick from Steeple.
Unidentified Analyst: Yes, sorry, I’m Matt, being laid on for Tom. Thanks for taking my question. I guess, when you’re looking at the overall NFV and ONAP market that you’re targeting, I know you’re coming at that maybe as progressing more slowly than you think it should. What are some of the key drivers that are moving the potential growth there or broader adoption? Are there other competing standards out there? Are some of the U.S. carriers hesitant to fully back something that AT&T sort of generating the most attention around? What are you seeing causing some of those limitations and uptick?
Eli Gelman: So Matt, is a wonderful question. It’s actually many factors. I can think about at least three major things that are slowing us down. First of all, the net, the net giving to providers declared or undeclared, they are trying to slow it down as much as they can, because they are every piece of software that someone is selling is sitting away from their boxes, let’s put it bluntly. And some of them are quite powerful. So that’s one thing that – and they create far than these and that and, so about the end we said it’s not feasible and we say it’s not commercially viable. It’s not – and we prove all of them wrong. It is feasible, it is available, it is in production, but it still affects the market. The second reason is that you need to understand that we know where and how to get to Point B, and we can demonstrate what is virtualized network would look like. But a lot of these companies are afraid of the journey from A to B. Right now, they are in certain state, and you need to understand that a lot of it is a mental state of mind of this carrier because for the last 25 years, they used to buy boxes and just install them with a lot of technicians, and we’re talking about some people does not require a lot of technicians and do everything in a matter seconds. It’s like going from the Stone Age to 2020 in once. So we need to deal with a lot of set of mind changes in everywhere in the world, okay? So they have, like always, they have early adopters, AT&T would be one, Comcast would be one, but they have followers, but this is going to the internal dynamics of some of the carriers. And the third one is that we are – we cannot come with all use cases in one day. So we come up with the use case and then another use case, another use case and some use case that are good for wireless companies and some users that is good for wireline and Broadband, and some use cases are good for enterprise business and some use cases are good for residential. And everyone of this company is have their own angle that what they want to test it with. And the beauty if it is that we are coming as time goes live with more users and as a matter of fact, even the three or four customers that we mentioned today, Orange, AT, Bell each of one of them and actually have very different use case. The beauty of it is that, okay, we now have four use cases as we come to market with to more late, but the number of people that run the same use case is still relatively low. But again, I don’t think that anyone can stop this trend. I think it’s here to stay. It’s a matter of with most other fundamental changes of a market it usually takes longer, so the run rate is longer. Once you takes off, it usually takes off faster. We are definitely one of the most relevant player in this space. And again, as I said, if it was up to me, I would take more casually to risk, but some people in the customer side need to make this call. And the other thing I would say that every time we have an opportunity. We showed that what we said, is actually been done or better than what we said. So we see a lot of cumulative data points that we actually can materialize this transformation. That’s kind of color around it.
Unidentified Analyst: All right, thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s question-and-answer session. I would like to turn the call back over to management for any closing remarks.
Matthew Smith: Yes, thank you very much for joining our call this evening and for your continued interest in Amdocs. We look forward to hearing from you in the coming days. And if you do have any additional questions, please give us a call at the Investor Relations group. Have a great evening, and that will conclude the call.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program you may all disconnect, and have a wonderful day.